Operator: Good day ladies and gentlemen, and welcome to the Quarter Three 2013 AtriCure Earnings Conference Call. My name is Laura, and I’ll be your operator for today. At this time, all participants are in a listen-only mode and we will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. Now I’d now like to turn the call over to Ms. Lynn Pieper, please proceed ma’am.
Lynn C. Pieper: Thank you, Laura. By now, you should have received a copy of the earnings press release. If you’ve not received a copy, please call 513-755-4136 to have one e-mailed to you. Before we begin today, let me remind you that the Company’s remarks include forward-looking statements. Forward-looking statements are subject to numerous risks and uncertainties, many of which are beyond AtriCure’s control, including risks and uncertainties described from time-to-time in AtriCure’s SEC filings. AtriCure’s results may differ materially from those projected on today’s call. AtriCure undertakes no obligation to publicly update any forward-looking statement. Additionally, we may refer to non-GAAP financial metrics. A reconciliation of these non-GAAP measures is included in our press release, which is available on our website. I’d like to remind everyone on the call today, that the Food and Drug Administration or FDA, has not approved certain AtriCure products for the treatment of atrial fibrillation or A-fib or for stroke reduction. The Company and others acting on its behalf may not promote these non-approved products to train doctors for the surgical treatment of A-fib or stroke reduction, unless the product does so indicate it. These restrictions do not prevent doctors from choosing to use the products for the treatment of A-fib or stroke reduction or prevent AtriCure from engaging in sales and marketing efforts to focus only on the general attributes of the products for the current cleared uses. AtriCure educates and trains doctors in the proper use of its products and related technologies, including for the treatment of AF in accordance with the product-specified indication. With that, I’d like to turn the call over to Mike Carrel, President and Chief Executive Officer of AtriCure. Mike?
Michael H. Carrel: Great, thanks Lynn. We are pleased to report strong third quarter results as we made continued progress in building our commercial, clinical and education focused team. This includes adding many new conversion accounts and continuing to build our team in a thoughtful and strategic manner. Based upon these accomplishments and our year-to-date results, we are again increasing our full year financial guidance for 2013 to approximately 14% top line growth, up from our previous guidance of 10% to 12% growth. I’ll start today’s call with a quick overview of our results for the quarter, followed by an update on the business, new product developments and our clinical trial progress. Then, I will turn the call over to our CFO, Andy Wade, who will provide an overview of our financial results. After that, I’ll come back to make concluding remarks, and we’ll open it up for questions. We are pleased to announce revenue of $20.1 million, which is growth of 25% versus last year. Growth in the quarter was driven by strong U.S. sales, which were up 28% versus 2012. We experienced a good balance across all our various product and solution areas. Our momentum continues and we’re now solidly seeing the results of our commercial and training focus. Key strengths for the quarter were U.S. open-heart sales, which were up 26% and U.S. clip sales, which were up over 70% in the quarter. We also achieved robust U.S. MIS and international sales. In the U.S., the momentum around our training and education effort continues. We are continuing to hold training symposia and have started to host more individualized courses as well. For example, in the third quarter, despite the fact that two physicians had already attended training events, the new Chief of Cardiology at Kaiser Permanente scheduled an individual training for all Kaiser Physicians in cardiology. As part of Kaiser’s goal to lower-cost, provide better treatment and improve outcomes, this was mandatory as a turning event. Dr. Cox provided grand rounds for the entire cardiology group including cardiac surgeons, EPs and cardiologists and in total roughly 30 clinicians attended. In 2014, we will be expanding our efforts even further by establishing and rolling out Fellows Program at STS and HRS. We expect the whole training courses for 40 to 50 fellows at each of these industry conferences. This is a big program for AtriCure and we anticipate it will have a meaningful downstream effect as we are training clinicians in the early stages of their career to be thinking about and addressing AFib in constructive ways. In addition to education and training at the clinical level we continue to invest in increasing overall market awareness of Atrial Fibrillation. As part of this endeavor, we developed the new campaign that we launched in Q3, focused on AFib risk awareness and treatment options called ACT Against AFib. ACT stands for A, assess your risk, C, consult your doctor and T, treat your AFib. The campaign includes advertising, press releases to the public, a website for physicians and patients, media kits for hospitals and advocacy groups to partner on the campaign and special events throughout the year. We’re also making significant strides on the international front and expanding our training and education efforts beyond the U.S. market and have partnered with leading AFib centers and thought leaders across Europe to provide the best in class training on surgical ablation. We have formed a Maze IV European Educational Steering Committee to include luminaries in the area of surgical AFib ablation from five leading centers across Europe. Our first international Maze IV training program was October 1 in Germany at Sana Stuttgart Cardiac Surgery Center, which is one of six initial European hospitals selected to participate in this important initiative. This course was be led by Dr. Cox, Dr. Kai-Nicolas Doll who is the Chief of Cardiac Surgery at Stuttgart and Dr. Timo Weimar, Cardiac Surgeon at Stuttgart and the International Medical Director for AtriCure. We have 10 cardiac surgeons from Germany, Austria, Serbia, and France who co-actively commented that this course gave them a new perspective on AFib therapy that we invigorate and encourage them to begin treating those patients. Overall, this was a huge success and importantly represents just the beginning of our international training courses. In addition, we had great showing at the European Association for Cardiac and Thoracic Surgery, EACTS Annual Meeting in Vienna. The meeting started off with a surgical case featuring AtriClip. We hosted a training session which featured five of the most distinguished surgeons as well one symposium entitled, Chasing the Threat of Stroke and both were filled to capacity. We also had 20 participants in an evening symposium on the traditional Maze IV Training led by Dr. Cox, Dr. Ralph Damiano and Dr. Manuel Castella. Consistent with our focus, training and education were key themes of the entire conference. Internationally, we also received our registration to begin selling products in France or we expect to have direct selling efforts. France represents a large market opportunity. We expect to initiate sales in the current quarter with more meaningful contribution throughout 2014. In Japan, we signed an extension to our multi-year agreement with Century Medical, Inc., CMI through 2019 which includes minimum revenue commitments through the next three years. The new agreement provides CMI with exclusive rights to market the AtriCure product lines including future sales of the AtriClip. On that note, we have also submitted registration for clip in Japan and we expect this to take 12 months to 18 months before getting approved. Moving on to the team, we continue to build our team at AtriCure and I am pleased to report that we have 39 net new additions to the AtriCure team since the beginning of 2013. Our most recent senior hire was Karl Dahlquist, our new Vice President of Legal, Quality and Regulatory Affairs who started in late August. Karl joined us from J&J where he was the Chief Compliance Officer for the Medical Device and Diagnostics Business based at Ethicon. Prior to that, he was the VP of Law, IP, and Quality Management with St. Jude’s AFib Division and prior to that, was the Senior Legal Counsel to Medtronic Spinal & Biologics. With a 20 year career in the medical device sector, Karl has deep expertise in leading global teams in all aspects of legal, quality and regulatory functions. He is another great addition and has already made an impact. In addition, we recently announced that Scott Drake joined our Board of Directors and Dr. Don Harrison, one of the AtriCure founders will be retiring at our Annual Meeting in May, 2014. Scott is the President and CEO of Spectranetics Corporation, which is a publicly held company with roughly $750 million market cap and reported $140 million in sales in 2012. Scott is a seasoned executive with strong experience in leading growing business while managing that growth in driving operational improvements. We are thrilled to have Scott on the Board. All of these activities are evidence that we are gaining momentum. Now, turning to the business trends; in the third quarter, U.S. open-heart revenue was up 25.9% compared to the same period a year ago. Our investments and strategic priorities continue to build momentum and resulted in sustainable growth opportunities. As mentioned earlier, AtriClip is gaining momentum and contributed meaningfully to our U.S. growth rate in the quarter. We believe this is in part due to the growing belief and the management of the LAA as a viable treatment option. We are successfully expanding our training programs, which as anticipated are resulting in increased utilization, competitive share gains and cross selling opportunities. Training levels and conversion of competitive accounts is providing inroads into new hospitals. We have sold to a 102 new hospitals in 2013 through the end of Q3. We expect to continue our focused efforts on education. MIS sales in the U.S. were up 12% in the third quarter again better than expected. While we’re encouraged by the year-to-date results, we continue do not anticipate a meaningful resurgence of the growth in the short-term rather we are optimistic we will experience stabilization in MIS as our efforts to get our clinical trial underway begin to take hold. Internationally, revenues were up 14.2% for the quarter, achieving sales of $4.3 million. We saw strong growth in Benelux, U.K, and German regions. As I anticipated and discussed in the last call we also saw a rebound in our Russia business over prior quarter and prior year. Operationally, our gross margin was 73% for the growth and our net loss was $2.7 million or $0.13 per share. Moving to an update on our clinical programs. We continue to invest in clinical science and FDA approvals. We have now enrolled over 200 patients in our ABLATE post-approval study. Importantly, we have over 38 sites enrolling and the remaining 12 on the final stages of approval. This is up from 32 sites in the last quarter and 10 at the beginning of the year. Enrollment is now ahead of plan and gaining momentum. On the stage DEEP AF feasibility trial, we now have all six sites enrolling patients and have enrolled 28 of the 30 patients required. We estimate enrollment to be completed this quarter. Additionally, we submitted our 20 patient data earlier this month and are waiting feedback so we can finalize our pivotal trial protocol. We expect feedback early 2014 as a result we expect to be ready for submission of our pivotal trial protocol in the first quarter of next year. The work of our Scientific Advisory Board which includes leading clinical and research institutions across the world has been instrumental in our approach. Moving on to our stroke trial, as we discussed last call we made the decision to move forward with a feasibility study to evaluate the AtriClip. Since then we have held our first stroke medical advisory board meeting in August with leading stroke neurologist, cardiologist, cardiac surgeons and interventionist from around the U.S. The input helped us to rework the feasibility in pivotal trial designs and we submitted a revised feasibility study in early September. Last week we got approval from the FDA to move forward. We expect to enroll up to 30 patients in 7 sites all of which have been identified and are in the process of getting their IRB approval. We expect our first patient to be enrolled by the end of the year or early 2014. Primary safety evaluation of the patients will occur at 30 days and patients will then be followed for six months. We anticipate having results from the feasibility study by the end of 2014 or early 2015. In parallel, we are currently in discussions with the FDA on our pivotal trial protocol. As you might expect the interest in this potentially seminal study is very strong. At this point it is too early to provide more detailed math as we look forward to updating you on the progress in the upcoming quarters. In summary, we have been gaining momentum throughout 2013, we are investing in clinical and education endeavors while we strengthened our team globally which we believe will fuel long-term growth. I will now turn the call over to Andy Wade, our Chief Financial Officer.
M. Andrew Wade: Thanks, Mike. For the third quarter of 2013, revenue increased 24.8% to $20.1 million. Revenue from product sales in the U.S. was $15.8 million, an increase of 28.1% from the third quarter of 2012. Revenue from open chest ablation related product sales in the U.S increased by approximately $2 million to $9.6 million and U.S. sales of products used in minimally invasive procedures increased approximately $373,000 to $3.5 million. U.S. sales of the AtriClip system during the third quarter of 2013 were $2.7 million as compared to $1.6 million for the third quarter of 2012. International revenue grew 14.2% on a GAAP basis and 10.8% on a constant currency basis as compared to the third quarter of 2012 up to $4.3 million. Gross margin for the third quarter of 2013 was 72.9% as compared with 71.6% for the third quarter of 2012 and 74% for the second quarter of 2013. The increase in gross margin was driven primarily through volume leverage and a lower mix of international sales. Note that the medical device excise tax expense for the third quarter was approximately $151,000 or 75 basis points. So after removing the impact of the MDET, gross margin would have been roughly 73.5% in the third quarter. Pricing remained relatively steady. For the remainder of the quarter we would continue to anticipate modest pressure on pricing in the U.S. Operating expenses increased 22.9% or approximately $3.2 million from $14.1 million for the third quarter of 2012 to $17.3 million for the third quarter of 2013. Research and development expenses, which include clinical activities were $3.2 million for the third quarter of 2013 or 16.1% of sales, an increase of $331,000 over the third quarter of 2012. As we've discussed previously, we expect clinical cost to continue increasing modestly in support of our key clinical initiatives, mainly the post-approval study in DEEP AF along with continued investment in our product pipeline. SG&A increased approximately $2.9 million from the third quarter of 2012 to a total of $14.1 million or 69.8% of sales, due primarily to increases in selling, marketing and training costs. Our operating loss for the quarter was $2.6 million as compared with approximately $2.5 million for the third quarter of 2012. Our adjusted EBITDA loss was approximately $1.4 million compared to a $951,000 adjusted EBITDA loss for the third quarter of 2012. Our net loss per share was $0.13 for the third quarter of 2013 compared to $0.16 for the third quarter of 2012. We ended the quarter with $34 million in cash, cash equivalents and investments. Additionally, we had approximately $8 million of borrowing capacity under the revolving portion of our credit facility. Lastly, we are updating our guidance for 2013. We now anticipate top line growth of approximately 14% year-over-year on a GAAP basis, up from our previous guidance of 10% to 12% growth. We anticipate the gross margin to be approximately 73% for the year, makes on current trends. We expect R&D to be 17% to 18% of sales which is unchanged and we expect SG&A to be roughly 67% to 68% of sales in 2013, a slight increase in spending levels versus 2012 and versus our previous expectations. We anticipate increased spending related to previously described commercial activities including clinical science training and education and international expansion. We now expect adjusted EBITDA for 2013 to be a loss in the range of $4.5 million to $5.5 million. This is primarily due to some regions in the U.S. doing significantly better than last year and expectations thus driving additional sales compensation. Finally, we continue to anticipate an increase in net cash burn for 2013 versus 2012 due to additional investments in operating expenses to fund commercial and product development activities and international expansion along with working capital and capital expenditures needed to support our growth strategy. At this point, I’d like to turn the call back to Mike, for this closing comments.
Michael H. Carrel: Thank you Andy. We are pleased with our sales performance and other accomplishments in the third quarter. Our key goal for the reminder of the year is to continue to gain market share by driving training and educational initiatives while simultaneously continuing to invest in our clinical and commercial efforts. We are optimistic about our future and as we look forward to 2014, we will continue to drive top one growth while investing in our future. However, we want to caution everyone that we are not ready to declare this growth rate as the new normal for next year. We look forward to keeping you posted on our progress and provide formal guidance and report our fourth quarter and year-end results in early 2014. As the only company in the world with an FDA approval to treat the most serious forms of atrial fibrillation, we are committed to advancing the fields. By achieving these goals we will continue on our path towards becoming a leading innovator in atrial fibrillation and Left Atrial Appendage management. With that I will open the call for questions.
Operator: (Operator Instructions) The first question comes from the line of Jason Mills from Canaccord Genuity. Please proceed.
Jason R. Mills – Canaccord Genuity, Inc.: Thanks Mike, thanks Andy for taking the questions. Congrats on a great quarter. Can you hear me okay.
Michael H. Carrel: Yes, we can hear great. Thank you.
M. Andrew Wade: Super.
Jason R. Mills – Canaccord Genuity, Inc.: Falls is coming for a long time, this is one of the best quarters I have ever seen and I can clearly appreciate and I am appreciative that you have the caveat at the end of your prepared remarks Mike, because it’s too often folks look at the quarter. The stock will be up on it and then forget about this time next year and expect you to put up another quarter coughing against it. So perhaps it would be worthwhile for everyone so that this is in record and folks can go back to in the transcript et cetera. If you can give us a bit more color on if there is anything in the quarter, it was such an upside relative to those dummies on this side of the business that we’re modeling business, that perhaps we could make sure that there is no one timers or there is nothing in there that would suggest that this quarter was anything other than just a phenomenal quarter like it was?
Michael H. Carrel: Well thank you for that. And you’re correct. There is nothing that was unusual in the quarter relative to no one time events. This was in my mind quite simply the investments that we’re making over the last year really come into fruition. All the efforts we’ve been doing around education and training have had a tremendous impact. You saw the open numbers. I know what to talk to investors to buy for the last nine months about those open numbers we’re going to come back in the back half of the year. They have started to come back because of that training and we see that in trial and across the board, just really strong good growth on that front. On top of that I think what you’re seeing in the industry is a buzz around the work being done by EP’s realizing that for persistent and long-standing persistent patients, the catheter may not be the only way to go and that’s not something being driven by us, necessarily but you’re seeing a lot of that trend happen and see that coming into our numbers, and the clip is just a great product. We get great feedback on the clip and we’re seeing a lot of progress both on the open side and also in combination with the MIS procedures. So quite frankly it’s just that the investments we’ve made in education and training are really paying dividends on the open side and I think that’s really what’s driving it more than anything else.
Jason R. Mills – Canaccord Genuity, Inc.: That’s helpful, Mike. My follow-up, just based on – it’s not surprising really to see these kinds of results. When you go back to when the approval was granted, obviously that was before you took over, but there was certainly at least in our view an expectation that training should begin – market share should begin growth and that’s certainly what you’ve executed. So the question is, just very simply where do we go from here? Companies are starting now to do their planning for 2014. Some are giving guidance for. You guys have decided not to yet. Unfortunately we have to model it. And I’m just – understanding this isn’t a level of growth you feel comfortable us modeling for sake of the 2014 time period. Maybe you could give us a few qualitative items that we can go forward within and sort of modeling 2014 with respect to what you’re doing internationally, getting into France, how that might help growth rates directionally, what you’re doing in the U.S. with the clinical trials in minimally invasive and directionally relative to this year where MSI growth might go? And then we may expect maybe continue build on the open side. Sorry for the babbling, but I think it’s important for us to get it kind of right and do not set the expectations too high.
Michael H. Carrel: I think you’ve hit on all the areas that we’re making significant investments and I do see a tremendous amount of upside over on our business for the long-term. My caution for 2014 is we had a wonderful quarter and we have done a lot of our planning for next year. We’ve looked at all the numbers. We just want to be cautiously optimistic as we look at it. We want to make sure that we don’t get too far ahead of ourselves that one quarter doesn’t make our year or a company long-term and so we still want to get too far ahead of ourselves. I don’t know that I can give you too much detail on it other than I just like to be cautiously optimistic and make sure that we all win at the end of the day by having good numbers around us that we can achieve and that we can exceed quite frankly. So all the things you’re saying, we believe very strongly and you can make a case for a very high number. I would just caution everybody to not do that because you get ahead of yourselves in case one of those things slip up. Now, I think we’ve got all the good news that’s out there and everything you said I think are really upside potentials for us. So really drive long-term strong growth. And I think when I was on the road raising money and talking to people, we really hit on talking to the fact that we felt like we would be able to consistently get to 15% growth over a period of time and the key word there is consistent. I do think 15% on a consistent basis is there. I don’t want to say that we’re quite there yet that I can guarantee that kind of growth right away every single quarter, but again we’ve just shown a great quarter. So hopefully that gives you some guidance and directional feedback on it that we’re trying, thinking about the low-to-mid-teens.
Jason R. Mills – Canaccord Genuity, Inc.: That’s helpful. Thank you.
Operator: Thank you for your question. Your next question comes from the line of Tom Gunderson from Piper Jaffray. Please go ahead.
Thomas J. Gunderson – Piper Jaffray, Inc.: Hi, guys. So let me get in a little bit more granularity on the quarter, Mike. One thing that was curious and positive was the new chief at Kaiser Permanente and asking for training or retraining and having 30 guys show up and two have already been trained. Was Kaiser a big customer before and had the new chief been a proponent of AtriCure at his previous job? Can you give us a little bit more background on it? It sounds interesting.
Michael H. Carrel: Kaiser has been a good customer, but we’re seeing significant growth there in a lot of it, a part of I think because some of the training. The training was recent, but what you’re seeing is a lot of people are showing a lot of activity and I think they are good example of that. They were a customer of ours, but they weren’t using it on every single case and so that awareness to create it beyond just the surgeons and to actually get to the other clinicians and cardiologists was absolutely critical. The surgeon wasn’t using it, but I wouldn’t say that they were a power user as many might call them. They were an occasional user of the products as they saw fit and now they’re changing their ways and they are actually using in many more cases.
Thomas J. Gunderson – Piper Jaffray, Inc.: Okay, thanks. It sounds like possibly favorable for the ACO model going forward. The other question I have is on something that Andy said and that was towards the end. I think it might have been on SG&A expenses, a comment that he made that certain regions of the U.S. were doing better. What regions broadly and why? What can you attribute in, is it teachable to the other regions that might be less than that?
Michael H. Carrel: Yes, I think it’s, this is Mike again. It’s not to get too specific on which regions where we’re winning in and seeing some growth. We’ve put some pretty aggressive growth target on some of the team that was out there and they’ve just done an absolutely wonderful job. Most of them are with many of our seasoned veterans. They’ve been around for a long time. What we see is really in the zones or the regions of the country where we’ve got some of that senior leadership. All of those zones are really starting to show the benefits of that trending and education and getting more and more customers. They see the value of that and I’d say that’s the biggest piece. We’ve added two new zone directors over the course of the last six months and they’re beginning to get their legs under them and I think that their teams will begin to get their legs under them over the course of next six to 12 months as well, because we’ve got eight of those zones, but six of them are really high performing and the other two are doing great for kind of getting themselves up and running and started and I’ve got a lot of confidence that we’ll have eight really performing at a high level through 2014 and 2015.
Thomas J. Gunderson – Piper Jaffray, Inc.: Got it. Thanks.
Operator: Thank you. Your next question comes from the line of Danielle Antalffy from Leerink Swann. Please proceed.
Robert J. Marcus – Leerink Swann LLC: Hi. This is Robert Marcus in for Daniel. Congrats on the good quarter.
Michael H. Carrel: Thanks Robert.
Robert J. Marcus – Leerink Swann LLC: Just a quick question. We’ve heard in the past that the hope was that the halo effect from the FDA approval would kind of take hold and we see some pull through from other procedures, are you trying to see that benefit? Their numbers are really good. So any color there that would be great.
Michael H. Carrel: I think the halo effect in particular really affects the clip more than it does the other portions of our business. So the training and education we’re doing probably affects that just because it’s common procedure that’s being done at the same time. You’re doing the open chest and we’re seeing really nice growth rates on that side of the clip side, just as well as we’re seeing it from the new AtriClip Pro. So in terms of its impact on the MIS side of our business, I would not say that. I think that that’s much more driven by just what’s happening out in the marketplace, the EPs getting more frustrated with the lack of success for their procedure and therefore pushing some of and starting to really get their surgeons more involved and quite frankly pulling us directly and asking for us to kind of their surgeon up to speed. So there is really a lot of reach out from the EPs and the surgeons on that front and certainly they collaborate a lot more than they have in the past.
Robert J. Marcus – Leerink Swann LLC: Great.
Michael H. Carrel: That’s less about the halo. They’re really two different things.
Robert J. Marcus – Leerink Swann LLC: And then in terms of OU.S. with France coming on, we’ve seen some other countries rolling over the past few quarters. How should we be thinking about that going forward, and really how much of an impact should we be looking for in many new countries that might be coming on in the near-term?
Michael H. Carrel: My focus for the team is really we’re focused on countries that consistently can drive $1 million or more in revenue year for us. If it can’t drive that kind of revenue it’s not really worth lot of our time. France is definitely one of those countries that is a big enough market, 60 million people. I think it’s about $5 million or so market today. So we think that there is a lot of growth there. St. Jude had a dominant position and share there. Medtronic is there in a big way now. Now that we’ve got our registration approval, which we just got, we’ll begin to kind of get some business off of that. So I think there is a tremendous amount of upside long-term for France. It’s not going to happen overnight because like anything else you’ve got to build relationships, you’ve got to build confidence, you’ve got to be talking to both EPs and surgeons on it and I do think we’ll make some really nice progress and get a good foothold there. Japan on the other front is a well-established market. I’d say that you’ll see modest growth rates in the short-term, but long-term we’ll see great growth rates with the addition of new products of Cryo and the Clip. Hopeful the Clip will be ready the end of the next year and Cryo in the 2016 timeframe and those should long-term really have a nice boost to our business from that standpoint.
M. Andrew Wade: Those are the two major kind of new agreements that we did in the most recent quarter and are the new additions. Everything else we’ve got going on internationally. I wouldn’t say there aren’t any net new countries that we’re basically in now that would have a dramatic impact on our P&L. The only other major impact was Germany where we’ve invested and we’ve added four resources there this year to have a much stronger direct presence and we’re starting to see the fruits of that labor as well. We’re seeing our market share grow and we’re also growing significantly in Germany.
Robert J. Marcus – Leerink Swann LLC: Thanks a lot.
Operator: Thank you. Your next question comes from the line of Charley Jones from Research. Please proceed.
Unidentified Analyst: So few questions here and I’ll jump back in queue because I do have a few. I’m curious, so if you can talk about a building effect of the training that you’ve done and now that you had more experience, do you feel like you have a better sense for how long and I know the spectrum, it goes across the spectrum here, but on an average how long it takes a surgeon to really see an increase in the number of procedures they do, following being trained whether it’s three, six or nine months. I’m just trying to understand this building impact that you have.
Michael H. Carrel: I wish I could tell you that it was consistent across every surgeon. It really depends on who is walking in the door for this before and what I mean by that is if somebody has been doing AFib procedures before they can walk out pretty quickly and begin to practice. For those that are net new to doing AFib surgery, it takes a little bit longer for them to kind of get there and get their feet under them and get comfortable with it. So for those it takes a year or so and for the other ones you’re talking about they can go right away and they can have an impact the next month. So it really does have a mix. I think the biggest thing for us in 2014 is we kind of begin to foreshadow and look forward is the trend and the change from, okay, here you got a three hour by doctor training, that got you really excited. Now we need to take it to the next level and do a Level II type course and so we have established that course. We’ve been working Dr. Cox and others to really put together a great course so that people can dive in a little more deeply and get even more comfortable with it. And so we’ll continue the training efforts even though there is not as much certification that has to be done, but to make sure that we’re in front of them and they’re getting the next level of detail adding additional lesion sets and getting much more comfortable with it, sharing ideas with other doctors and physicians as well. So there is no exact date I wish I could give you on each one of these surgeons because it really is different for each one.
Unidentified Analyst: And so if you think about internationally, how many people have you added there and how long do you think it will take to reach your existing accounts and how many new accounts you think you can reach over the next couple of years? Do you have any goals there?
Michael H. Carrel: In terms of the training or…
Unidentified Analyst: Yes. How many people have you added internationally, how long will it take to train your existing accounts and do you have goals of training new accounts or is it really to be training existing accounts?
Michael H. Carrel: We’ve added approximately five people on the international front and we are doing a lot of outreach and a lot of these training courses are a little bit different. The training course I was referring to at Stuttgart was an advanced training course where SA is a really small group that was reached out to who are not doing these procedures previously. But in terms of our goals, we’ve got market share goals in each one of those regions and areas that we are definitely tracking towards and try to build up. Germany is a big market for us. France is a new market. We believe the U.K is going to be a growing market for us as well. The dynamics there working in our favor is they again see – they don’t see great results relative to the EP procedure. So there is some legislative changes that might occur there. And in the Benelux continues to be actually a good strong performer for us. So those are some of the regions and zones that we are looking to and France being a big kind of net new one for us. Latin America, we have not seen a lot of growth there. I said say that’s really going to be a focus probably in the 2015 timeframe. I just want the team to be very focused on making sure that we execute in the European theater first and then make sure that Asia second.
Unidentified Analyst: I’ve got a couple more in the sales force in Clip but I will jump in queue and maybe get in later. Thank you.
Operator: Okay, thank you. I’d now like to turn the call over to Mike Carrel for closing remarks.
Michael H. Carrel: Okay, great. Everyone thank you very much for joining today and participating in the call and have a wonderful evening.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a good day.